Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the AMERCO first quarter fiscal 2010 investor call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions). Thank you. Ms. Jennifer Flachman, you may begin your conference.
Jennifer Flachman: Good morning and thank you for joining us today, and welcome to the AMERCO first quarter fiscal 2010 investor call. Before we begin, I would like to remind everyone that certain of the statements during this call regarding general revenues, income and general growth of our business constitute forward-looking statements contemplated under the Private Securities Litigation Reform Act of 1995, and certain factors could cause actual results to differ materially from those projected. For a brief discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-Q for quarter ended June 30, 2009, which is on file with the Securities and Exchange Commission. Participating in the call today will be Joe Shoen, Chairman of AMERCO, and I'll now turn the call over to Joe.
Joe Shoen: Hello. This is Joe Shoen. I'm speaking to you from Phoenix, Arizona. I have Jason Berg here on the conference call with me. Gary Horton and Rocky Wardrip are joining us via telephone from Reno. You've all seen the numbers. We finished another rough quarter. U-Haul revenues were down year over year, and expense reductions were less than revenue declines. So that's kind of the bad news. We put a tremendous amount of effort in again this quarter. I would have liked to see a better top line. But at the same time, I'm fairly confident that we positively impacted the top line. In other words, so, our business isn't varying quite with demand. We're making progress, although it's not reflected in profitability. Overall, what I see in the marketplace is a very tough business climate where the customer demands outstanding value before they will part with their money. And U-Haul products are ordinarily a value proposition and ordinarily, that should work in our favor. And I think it is. We continue to roll out initiatives designed at giving the customer greater value without increasing our cost, and we will continue to do so for the balance of the year. Fleet utilization was down very marginally, like a percent or something like that in the last quarter, and that indicates the fleet's a few thousand trucks larger than we are presently supporting. In the fourth quarter of '09, we took steps to adjust the size of the fleet, but that process takes about a year to work itself through. In other words, we slowed down the rate of new fleet and continue to take fleet out the bottom, what happens is the fleet comes down in size. And so we'll trim a few thousand trucks out of the fleet, and that'll have a very positive effect overall. We continue to maintain good liquidity and to have support of equipment lenders and lessors. The sales of six-wheel tucks exiting our fleet continues at the pace of about 10,000 units a year. Our actual retirements are a little bit larger because of vehicles that are retired for a physical issue as opposed to just sold. Sales of four-wheel pickups and vans, continues at the same rate it had been, but we saw definite pricing strength in the first quarter, and this has been very positive. We had, as many of you know, enjoyed a little bit of margin on selling those vehicles for the last several years, and then it kind of went away. And certainly, around November/December of '09, that market was really, really tough. That market's come back considerably, and that's a very positive development from my point of view. We continue to invest modestly in our U-Box moving product, our internet-based phone system, mobile computers at the point of sale and the appearance of our point of sale facilities. We will be well positioned, should things improve as they ultimately will. Competition remains very active in both the self-move and the self-store markets. Consumers are wary, and I don't see that's going to change a lot over the next quarter. I think that that climate's going to continue. I see signs of life in multiple areas. Of course I'm speaking with my people in the operations; that's all I talked about is where the grass is green. But nevertheless, even with those, I've not been able to pull together an overall revenue increase. I think that the team we have in place is doing a terrific job with the customer, and we're active, as most of you know, in nearly every submarket in North America. If there's a market we've missed, tell us and we'll go get in it. So, there are many positive places in North America where business is up. We all see the places like Texas, not Texas; it's really Arizona, Florida, California where housing values have fallen and everything. That's not reflective of the whole country. So, we get areas where we're seeing good increases, and I know we are very well positioned. At the same time, our costs ran a little higher than I think I would have liked to have seen them this quarter, and I think they're trending down and will continue to trend down in the first, or the next quarter; it would be our second quarter. At which point, the cost and the revenue changes cross for a positive, I'm not going to predict here today, because I really don't have an absolute forecast for that. With that, I'm going to hand it over to Jason to kind of go into the numbers in depth.
Jason Berg: Thanks, Joe. Good morning. Yesterday, we reported first quarter earnings of $1.01 per share compared with $1.37 per share for the same period in fiscal 2009. Even though revenues for the quarter decreased $17 million or 4%, a portion of the decline was a result of fewer truck transactions, which decreased just under 1% compared to the same period last year. Additionally, foreign currency exchange rates between the United States and Canada were responsible for approximately 1% of the year-over-year decrease. Based upon the rates through this week, we will see this trend continue into the second quarter. Revenues for our storage program were down $547,000 for the first quarter of fiscal 2010 compared with the same period last year. Our occupancy rates are down nearly 5% for the quarter to 76%. Our average number of rooms occupied has decreased 1.25% compared with the first quarter of last year. Additionally, our average number of rooms available to rent in the portfolio has increased 5% over the same period. Our total rooms to occupied are down for the quarter, compared to last year at this time, we have seen an improving trend in our net move-in activity. Operating expenses for the quarter decreased $3.2 million with the majority of that in the Moving and Storage segment. Areas where we have realized significant cost savings include personnel, telephone directory advertising, and shipping and freight. These reduction efforts are continuing. Depreciation expense as reported has decreased $5.7 million for the first quarter of fiscal 2010 compared with the same period last year. Included in this change is a little over $3 million of improvement related to the disposal of our equipment. The reaming decrease and depreciation is related to the box truck fleet. This trend should continue through the remainder of fiscal 2010 as purchases of new trucks have slowed, and our accelerated depreciation method results in lower expense as our existing trucks age. The operating earnings at our insurance subsidiaries were down just over $2 million for the first quarter of 2010 as compared to the same period last year. With our insurance subsidiaries reporting on a three-month lag, we have a pretty good sense of their second quarter earnings, which are likely to show another decrease, though of a smaller magnitude. Our expectation is that their performance will improve over the second half of the year. Earnings from operations for the first quarter of fiscal 2010 were $19.5 million compared with $26.6 million for the same period last year. The decline in equipment rental revenues, the primary reason combined with the performance of the insurance subsidiaries. This was offset somewhat by reduced operating expenses and lower fleet related costs. Cash and short-term investments, excluding our insurance companies, was $203 million at June 30, 2009. We had additional cash availability from our existing borrowing facilities of just over $65 million. During the first quarter, we experienced a $15 million decrease in operating cash flows at the Moving and Storage segment, related primarily to the decline in equipment rental revenue. Cash flows used by investing activities increased $25 million for the quarter compared to the same period last year, as we funded a greater portion of our capital expenditures from our own funds instead of through leases. In the first quarter of fiscal 2010, we entered into $18 million of new equipment leases, while last year at this time, we had entered into $144 million. Excluding these lease fundings, you will see that we have reduced capital expenditures on new rental equipment by approximately $80 million, and other capital expenditures, including real estate acquisitions and construction, by $14 million for the quarter. While our revenues are disappointing, we believe that the significant efforts put forth by our team have allowed us to weather the challenges created by the economy better than most in our industry. With that, I'd like to hand the call back to Joe.
Joe Shoen: We'll go ahead and go to the moderator and take some questions.
Operator: (Operator instructions). Your first question or comment is from the line of Jim Barrett with CL King & Associates.
Jim Barrett - CL King & Associates: Good morning, everyone. Joe, could you talk a bit about pricing and competition? As you know, your number one competitor reported Tuesday night and indicated that pricing was flattish to down slightly, that one-way moves had improved their mix. What is your view of the world on those two metrics?
Joe Shoen: And just between you and me, who is this?
Jim Barrett - CL King & Associates: Oh, okay. We were talking Avis Budget.
Joe Shoen: Okay. Avis Budget. Okay, great. Okay.
Jim Barrett - CL King & Associates: I know you don't have much competition, but that was who I was referring to.
Joe Shoen: Well, we have lots of competition, and as I think we consider our biggest competition to be owned and borrowed, in other words, and not Avis or Budget or the rest of those people. Well, from what I see, budget specifically is pricing in a way that won't be sustainable. For them to come to that conclusion they may have to go through a whole equipment cycle, which for them is three or four years; I don't know how long they consider their equipment cycle. In other words, they need to go sell the trucks and replace them and see whether they made any money or not. Our equipment cycle is closer to an eight year to ten-year cycle. But when I see them, I've seen them repetitively pricing below the cost of the rental. Now, in a lot of markets, I can still price in a manner that allows us to recover our full cost and some margin, but not in every case. And from its anecdotal evidence if somebody said, well Company X was $200 cheaper, that's why we took them. Okay, well great. The pricing system you see with our competitors its not -- do your own monitor. Take the total price the one way move; divide them into the miles that would give you a $1 per mile or cents per mile. Multiply times 100,000, which is about where they're going to flip that truck, and see if you want to run that truck for that much money and have to sell it at the end of the cycle and buy a new one. So that's the equation. It's not real complicated math. We're not going to price below cost. If we do it, it's an extreme rarity where either we made a mistake, or we did such a poor job in controlling flows that it's our least worst alternative to get the equipment out of an overflow situation. And I really discourage our team from doing that. So you're not going to see us do a lot of pricing below what we consider to be full cost of the rental. My experience of this, Jim, is if a customer pushes back on price, they're asking why are you of value. That's what I tell my people. If the customer pushes back on price, we'll push back on value; we're there. We already are in the value proposition equation. I mean that's the premise of our business is the value proposition equation. To my knowledge, no competitor acquires the equipment cheaper than us or finances it at more advantageously. Now both Avis Budget and the Penske organization are larger in absolute sales. Okay? So Penske is part of GE and Avis Budget, I don't know how much they do, but several billion dollars a year. But nevertheless, when it comes down to competing in this marketplace, they've got to have an account (inaudible) let's go through the numbers. So I think am I going to have an opportunity to get four or five percentage price increase? No, it's not going to happen. Now at the same time, there's things I can do to continue to hold costs. I'm a little bit behind on that curve right now. I'm pushing a little bell wave of cost where I'd rather be on the other side of that, very obviously. But we're running things and Jason can tell you the impact of, but we're running things through the expense lines like we're reimaging stores at a hell of a rate. We're investing very strongly in this whole internet-based phone system, which has already increased and will continue to increase our customer service and lower our cost over a three-year view, although in the first year, costs us more. We're continuing to invest modestly in the U-Box product, and a bunch of that cost is going to be basically flushed through the system. And so we're fairly conservative on what we capitalize or what we just run through as an expense. So, I think that the market's going to remain pretty much, for at least the next 90 days or maybe the next year, about what it's been like as far as getting price increases, which is not real accepting. At the same time, at least once a week I go down and wring somebody's neck who's working in the pricing department, and we have a big argument over could we have gotten another so many dollars out of a particular market. Because it comes down to a particular rate and a particular market, and if we could have gotten it, we should have gotten it. And so, I'm very much pushing at that. But at the same time, I saw some rates to Chicago out of Phoenix where we were lower than I liked. And then when I went and looked up Budget, they were 200 bucks under us. So I go, Jesus. Okay. I understand why my analyst did what he did, but we still were lower than I liked. So, to a certain extent, we're not going to follow them down. You'll see rates, if you do a few rate mongers, you'll see rates where they're doing a $99 any place and 500 miles and stuff like this. It's just suicide. We won't do those rates. However, if they're at $600 to Chicago and we're $800, you can bet my analyst is tempted to come down to $600, but I'm pushing them pretty hard, no. Make my point to sale people sell the value. We're worth another $200 more than that in that equation. A lot of customers understand it. They push back because, yes, money is tight. But when they push back, then explain to them that yes, you're going to drive by 50 U-Haul places between here and Chicago. How many budget places are you going to drive by on the highway? What are you going to do if you get a flat tire? Flat tires happen to everybody. How are you going to really pack your goods? Their vans don't have adequate rub rails and tie down positions inside. You can wreck $200 worth furniture you can hold in one hand. You've been to the furniture store? So, there's a whole positive bunch of things, and we see consumers respond to that when we sell it. So, I think that the pricing is going to stay tight, and I think that it just is. And so okay, fine. Our opportunity is, adjust our fleet a little bit and pull a little bit of cost out of that, which we've taken those steps; it just takes a little while to come through. And then I'm stuck with the decision, do I want to slash things like keeping the stores looking sharp? I could slash that; I don't know maybe, I'm going to guess $10 million a year I'm spending on that. Jason, do you think that's probably about right? I can slash that. It's deferring something. It has a nice short-term effect, but it has kind of a crappy long-term effect. So I have not cut those things yet. We've been on essentially a hiring spree for closer to a year now. We've treated [ph] out a lot of people. We'll have a normal slowdown come September. Maintenance, as you know, is a big expense for me. I'm not concentrating on it right now because I'm focused on rentals, but I'll focus on that a little bit harder come September. We're seeing some signs of life in self-storage. And this is a question of basically balance. I've driven my people real hard on the U-Move, and probably a little too hard. I backed off a little bit. I let them get some time on the self-storage, and immediately we saw the self-storage product (inaudible). Jason alluded to that in the notes. I think that with a little bit of good fortune, that will continue in the second quarter. And of course, that the money that pays all year long. And of course, every time you lose one, you lose one all year long. So, storage customers could have a nice impact on total economics of the place. We have basically enough storage right now that we could rent very successfully for a year and not absorb our product. So, in other words, I've got storage product. As Jason said, we've slowed way down on adding it. We still have a few projects that we're cleaning up or finishing up, but we're way, way slowed down on that. But we're conserving the cash, and we have plenty of products out there should we develop our customers, so we're not going to run out of product. That's kind of a long winded answer to your question, I guess.
Jim Barrett - CL King & Associates: And you may have answered the second question I had, which is why Budget is growing one-way moves while U-Haul is not? Is it a function of simply being more aggressive on price?
Joe Shoen: First of all, I don't know that they are growing them, okay?
Jim Barrett - CL King & Associates: Well, their mix has shifted to one-way.
Joe Shoen: Yes, it could be that they lost more in-towns. So, I would surely like to know that information. I'm kind of curious about that myself. But, I don't see that happening in droves, but anecdotally, I've got customer interviews, which we're doing all the time. I rented the truck that was $200 less; that's why I rented the truck. Okay, got it. Did they tell you how much gas it burned? No. Well, our trucks get better fuel economy. Oh, Jesus, nobody told me. You see? So, I go back and hit my guys up, hey, if you're not going to pitch it, then we're going to have to give away the rate. And of course that's where we all get paid. So it's a very near and dear thing to the people working here is getting the rate for the rental. And so I've can kind of get people's attention because I can translate it very directly into their paycheck as okay, great, we can drop the rate on all this, you see, but I'm going to have to do something in the personnel end of it which is near and dear to everybody, which they don't want me to go there. So they can kind of get the idea. Now executing that and executing it tens of thousands of times every week, it's a tall order, but that's what the customer wants today. I'm sure, I don't know your neighborhood, but I'll bet there are restaurants you have to get in line to go to. Okay, yes. Your consumers spending is off. Okay. So, well that's the same thing in our business. I've got stores; we've got lines out the door. Okay? Well, let's serve the customers faster, let's process them better. Whatever it's worth, we had our best weekend in transactions in the history of the Company last weekend. For over, you measured one, two, three, or four days, Thursday, Friday, Saturday, and Sunday. We just turned and burned. But I had people positioned, I had them motivated, Jim. They were selling their hearts out. Does that mean I've got a trend for August? Well, I'll tell you at the end of August. But it does tell me, the demand is out there and the preference for U-Haul is there when we're on our game. If we're not on our game, okay sure, somebody can come in and say, I'm seeing this Jim Barrett and $200 less. Until they really get to know you, they'll say well there's another value proposition here. I'm sure you have that in your business, too. We have to speak to it to the customer. It is very annoying. I'm very suspect whether they increased their one-way rentals overall. I'm not saying I don't know it; it's just that the data is more cloudy than it appears at first. I'm a little suspect of it. But nevertheless, there are signs of life in the marketplace, and if they outcompete us, if they offer a better value proposition to the customer consistently, they're going to get more counts. There's no question about it. So, we don't have a lock on this, but on the other hand, I looked at their economics, and I don't see where they can have a cost advantage over us. I just don't see it. If anything, I'd say it's the other way around. So, to do that, now you got to swept through a cycle, whatever you want to say a cycle is. If it's a 12 months or 36 months, I don't know what they're going to consider a cycle, but you have to swept through a cycle that says, hey, was this a good idea or not? So that's kind of where I am.
Jim Barrett - CL King & Associates: Their revenues were down twice U-Haul's. They were referring more to a mix shift, but your explanation was helpful.
Operator: Your next question is from Mr. Ian Gilson of Zacks Investments.
Ian Gilson - Zacks Investments: You had mentioned that basically, you will be reducing fleet size presumably by both mechanisms of continuing to sell trucks, maybe increasing the sales rate, and also in cutting back on purchases on your trucks. What would that do to your maintenance expense?
Joe Shoen: Well, I don't have a figure at the top of my head. And If Gary or Rocky or Jason has them, pipe up. But basically what I'm targeting is us dropping somewhere around 5,000 trucks. It gets a little complicated because I never exactly understand how the calculation is done, but we published in the financial deals. But we published 101,000 most recently and some change, and I would expect to see that number come down. And if we bring the right trucks out on the bottom, Ian, it has a disproportionate effect on maintenance, of course, positively. In other words, if you bring the right trucks out, you're bringing out the barking dogs or the expensive trucks, and so it should have a disproportionate effect. So, let's say I brought out 5%, or 5,000 trucks, I would expect to see greater than 5% reduction in maintenance. But because it goes in progressively through the year for a 12 month period, that reduction in maintenance may be a reduction of 3% or something because it's a tapering line. The first month it wasn't a heck of a lot; 12 months, it's quite a little bit. So towards the end of the year, the effect should be greater. Jason or Rocky, either one of you want to pipe in on that?
Ian Gilson - Zacks Investments: I know that to a certain extent, your expenses are based on an estimate of the future revenue, and basically is a leader on revenue. But for the last four quarters, we have seen a somewhat higher level of operating expense ratios. And you've said you've been cutting costs, but are we looking at a new dynamic on the cost structure here?
Joe Shoen: I'll say I don't think so. I'll take the blame for it. I have continued to believe right along that, I was going to bend the revenue line. And we've not bent the revenue line, and so I won't say I've surrendered that position, but as far as what we're doing on cost, I've surrendered that position. So, at this point, the costs are coming down, Ian. No, I don't think so. But it'll take six months by the time you do everything. You're cutting costs, but stuff lingers. It'll probably take six months for it to get back in line. That would be a guess. At the same time, we have spent some money in, as you know, we're fairly aggressive on depreciation on trucks. That's going to bear fruit for us, because if you aggressively depreciate them, well then in third year and the fourth year and fifth year, you have a little, I won't say it's a cushion, but you're in a better position. And we're going to have some tucks in that cycle over the next 12 months. We've done a whole bunch of portable computers at the point of sale, much like what you may see at a car rental check-in where the person's carrying a little computer around with them. We've lost a lot of money into that, and that stuff gets depreciated pretty quickly. I don't know exactly how it's booked, but it is pretty quick. And then we have spent or will spend between $10 million and $15 million on an entire new phone system for the whole network. Jason, do you have a number at this time that you're forecasting, or not?
Jason Berg: Right now, we're getting pretty close to the $10 million.
Joe Shoen: And it'll go a little bit higher. What those numbers will be. But that, Ian, and again I presume Jason will be pretty aggressive on writing that stuff down and not delay that hitting the income statement. But that's going to yield a benefit to us certainly over a 36 month period, and maybe quicker than that. But the original forecast where we'd make our money back in 18 months, and those are always a little bit happy, but we're going to make our money back pretty quick on it and have improved customer service. But, as you go through a transition like this, we end up paying for two phone systems at every location for at least one month of the year, and at some places, two months by the time you see it. So, what happens is, we're going to do something like 14/12th of our telephone expense rather than a lower amount, but then it's going to start reversing itself. We're about two thirds rolled out now, so we're just about over the really nasty part of it, and by Christmas, we'll be totally over it. We'll start to see some gains from that or some cost savings from that in the last quarter of the year. I don't think we're in a different cost dynamic. The fundamentals of the truck and trailer haven't changed. The storage room hasn't changed. Operating margins in the storage room business are totally dependent on occupancy. When you're at 75% occupancy, your margins stink. When you're at 85% occupancy, you look like a genius. So that's occupancy driven. And everybody suffered a little bit on occupancy, but I overemphasize the truck rental. And I've brought people back, and we've seen some changes in the most recent four to six weeks, but look like we're going to start steadily gaining rooms. So if we do that, we'll see the margins of that open back up to what they traditionally were. So, I don't think there's a fundamental change, but there's going to be a lag on it. And I don't want to sugar coat it, but I don't think there's going to be a problem.
Ian Gilson - Zacks Investments: Final question. Looking at the expense ratios, I noticed that commissions, although the difference is small, but commissions as a percent of rentals declined slightly. Has the Company owned store ratio to should we call them client ratios changed? Are you getting a bigger share of the market? What are the dynamics there?
Jason Berg: Ian, this is Jason, and you hit it right on the head. We are seeing a small increase in the percentage of business being transacted at Company locations versus dealer location.
Ian Gilson - Zacks Investment Research: Is there any reason for that, or the dealers getting discouraged?
Joe Shoen: I don't think the dealers are getting discouraged. Ian, this is Joe. It's much easier to manage utilization at larger inventory points. And as our field has been under increased pressure to produce, they do a little bit of consolidation of inventory. Now, the tradeoff is you're going to lose convenience, you see, and then you'll ultimately lose revenue. But there's been a little bit of consolidation there. But you're talking like a percentage point, is my recollection. It's not a fundamental shift. We're not deemphasizing the dealer organization, and we're not intentionally preferring them, but there's some unintentional preferring that goes on as I bring the hammer down harder on people just because it's easier, we just do better turnaround, et cetera, at a big company facility than we do at a dealer. If maintenance needs to occur, it'll happen faster at a company store; less down time on the equipment. So as I pressure people harder and harder, they kind of revert to that behavior.
Operator: Your next question comes from the line of Gary Lenhoff of Ironworks.
Gary Lenhoff – Ironworks: Thank you. Jason, can you tell us what the net gains number impact on depreciation was for the quarter?
Jason Berg: Sure. We had a $1.3 million loss for the quarter.
Gary Lenhoff – Ironworks: Joe, it sounds like pricing was down. The pricing impact in the quarter was 2% or 3%. As you go into the back to school season and through July and into the first week of August, care to speculate or share what about what you're seeing in pricing so far?
Joe Shoen: The opportunity there is, this gets to a whole heck of a bunch of pricing, and I worked on it yesterday, so you're hitting a real good point which is the opportunity is to get a percent or something because these people are pretty need driven. And we serve a lot of these markets more aggressively than some other alternatives, so there ought to be some modest amount of price flexibility on the part of the customer. So the answer is, I have high hopes, but I'm not forecasting a revenue gain on it. But I have high hopes. As some of you know, 24 months ago, we rolled out a new pricing system. And our pricing system, one of the flexibilities it had in it was to maybe get a tiny increase off of a particular college market, and not show that in the whole rest of the pricing system, but be able to be very, very selective on some price increases and therefore get them. So, I was reviewing with my team yesterday, do they feel that they've learned enough about the system to utilize it, and they felt we missed some opportunities for pricing in July, but they thought that they were better comprehended and better positioned for August. Now, these submarkets may be 50 rentals or less total magnitude of the market. So, you're getting extremely specific, Gary. But my team thought they were going to do better than they did in July. So it's like anything else; it's a process. But it's not like you get $50, or these are like you're getting $11 or $12 increments, but they add up with the volume, so they become a lot of money. And that's been our intent. That was the reason we spent all the time developing the system was so we could try to capitalize better on these things and be more flexible. We're going to see the school, as you probably know, now breaks all through August. It used to be kind of a Labor Day phenomena. It'll be breaking as soon as the 10th of August. So, we're going to see these peaks all through the month and try to view them as a pricing opportunity. Now, when demand outstrips supply, we ought to get a couple of bucks. It just makes sense. So, we're attempting to do that, and we'll see how well we do it.
Gary Lenhoff – Ironworks: And Jason, can you tell me what you expect net CapEx to be for the balance of fiscal 2010?
Joe Shoen: It'll take him just a minute, but he does have an idea here. Gary or Rocky, do you have a number at the top of your head?
Gary Horton: This is Gary Horton speaking, and we do have some things that we're actually what I would say committed to buy. On a committed basis, we have somewhere around $29 million worth of trucks, and the rest, we have a lot of discretionary. So, when you look at it, you'd probably got another $5 million to $7 million on telephones, probably $5 million on real estate, and U-Box and Car Share, again, it's probably another $10 million there.
Jason Berg: Gary, this is Jason. On the annual basis, our plan, before any sales of equipment, would be closer to $150 million to $200 million. Probably closer to $200 million gross, and then a little over $100 million to $120 million of sales. And we did do a large portion of the acquisitions in the first quarter, so then it slows down a bit over the second half of the year.
Gary Lenhoff – Ironworks: So, the plan was $50 million to $80 million net.
Jason Berg: Probably closer to $100 million net.
Gary Lenhoff – Ironworks: $100 million net?
Jason Berg: Yes.
Joe Shoen: Yes.
Gary Lenhoff – Ironworks: And Joe, let me ask the question, you've been asked, or you've certainly touched on in answering previous questions, but I'm taking a little bit different perspective on it. It seems like those that you are competing with don't really have much return on invested capital discipline, at least in your view. And at one point, it looked like six or nine months ago they may be put out of business, or at least hindered from doing, making some of the reckless pricing decisions that they've made because capital was not going to be made available to them to continue to behave in that fashion. Now, here we are not even one year from the, coming to the edge of financial disaster, and the markets and investors are offering them up capital again to seemingly engage in the same kind of behavior. That's a philosophical statement. My practical question is, going forward, what are your thoughts on the return on capital that you can generate from your business in this environment? What is the earnings power of the U-Haul model, not next quarter, but over the next three to seven years? How do you guys think about this philosophically, assuming that as you've touched upon, these guys may be around through at least another equipment cycle which will be a handful of years?
Joe Shoen: First of all, I don't think they got truck financing. Again, I don't know. I don't have a very good pipeline with those people at all. They got car financing. And I don't know their lenders, but I'll bet their lenders know what they're financing, because our lenders are fairly specific. I don't think they got truck financing. And they've been dropping fleet, from the numbers I see, and not having to face up to adding fleet or replacing fleet. So that's a classic economics of transportation trap. Maybe they're going to get rescued by some serendipitous thing, but it won't be the automakers bailing them out. Or a lot of these things that have happened in the past that just kind of rained only on the rental business don't appear like they're going to happen in the future, so they're going to have to go on a full cost model. So, it will get there at a point. To answer your real main question, I'm going to ask maybe either Gary or Jason to jump in on it. You're looking for a return on invested capital number?
Gary Lenhoff – Ironworks: Yes. What do you think your business can generate in terms of returns on the capital that you have to invest in the business to maintain it? Or it's the same question measured differently. What's the earnings power on a cash flow basis or an earnings per share basis? However you measure it and measure your own management's ability to run the business, what's the earnings power you think you've got here given the environment?
Jason Berg: Gary, this is Jason. Let's put in perspective over the last four years, and most of my analysis is focused on a GAAP balance sheet. Looking at our return in relation to GAAP equity over, say, track it on a trailing 12 month by quarter, over the last four years, we've been anywhere from a high of 16% dipped down to where we're at today. So, the answer is that we're probably somewhere in the middle of there, north of 12%. In the middle of all of that, we've instituted some things that have affected the GAAP income statement a little bit that have watered down our reported earnings. I don't have a number to give you on a cash flow per share right now. But just to put it in perspective of kind of historical return on GAAP equity, we performed over 12%. So that's reasonable.
Joe Shoen: Yes. I would kind of echo that. I don't ask myself that exact question with very much regularity, I have to think a little bit. But listening to how Jason's gone through it, that would be closer. And right now, we're not missing the hoop totally, but the fact of the matter is as total revenue came down, total expenses didn't come down as fast. We did a great job on total revenue, but not a good enough job. So, we've got ourselves a little trough to dig out of, and I'll be the main guilty party, I continued to believe we could pull the revenue out and continue to let people function under that assumption, which stopped sometime around March of this year, that program ceased. So, the expenses will come around. And some of these expenses take as long as 12 months to really come around, but almost every expense takes at least a quarter by the time you bleed through whatever it is. In the Storage business, we should be able to outperform a lot of people purely because in that business, what's happening there, I believe is as the market becomes reasonably well populated with product, that there's no room to pay third parties high margins to provide a payment processing, Internet hosting, the Yellow Pages, insurance, and a host of other things, which is kind of our gain; working all the costs out of that deal. We'll do as good or better than the industry at a given occupancy. Right now, our occupancy is, a five-year low or something like that, Jason. Something like that. But we're gaining rooms back, and I see no reason why we won't continue to gain rooms back if we'll keep our focus on that. So I like our margins there. We have a nice mix of age of facilities. So we have some new stuff that's relatively high cost and we have some older stuff that's relatively modest cost and the blend should give us ability to produce a decent return. The truck and trailer rental business is always a little bit speculative. It's not quite as predictable as the other. Clearly we have the brand name and the market position, but a 1% or 2% in pricing makes a heck of a big difference. If we don't manage and get that 1% or 2% in pricing, also it looks like we are geniuses and if we don't we look like dunces. We have done a tremendous ten year period with both utilization and cost control and that is got us where we continue to go. Every time I think there are no more gains to be found there, we find another gain, another opportunity. So we are continuing to look at that. If I thought there was something was going to long-term impact us, it would be something like this carbon cap and trades or some real macro thing that would come around. So far I haven't seen it. It is going to smack everybody a little bit but I don't think it's going to disproportionately hurt our business. We've taken steps to try to minimize that. There is no question we have the most fuel efficient fleet out there. We are most oriented towards the consumer on that issue. As that becomes more and more in focus it is going to increase everybody's cost. We'll be in a position to look better or communicate better to the customer. So Jason this number is about where I would expect to see it over a three or four-year period. It is not running that way right now obviously. You can figure the math as easily as I can there.
Operator: (Operator instructions) Your next question comes from the line of Jim Barrett with CL King & Associates.
Jim Barrett - CL King & Associates: Could you talk about the investment portfolios at the insurance subs and how comfortable you are with the quality of the securities, debt, equities and other types of assets they own?
Joe Shoen: Absolutely. I am super comfortable. Jason can describe it better financial terms.
Jason Berg: On both of the portfolios, we have had at the end of last year, it was noted on our last conference call there was actually a question about the unrealized loss position at the two insurance companies. At that time, we said that it has improved in their first quarter. We do have a look at their second quarter which ends June 30th and it improved yet again whereas we are rapidly approaching almost an unrealized gain position on those portfolios. So there has been significant improvement in the market value of both of the portfolios. As far as impairment charges, we have had minimal impairment charges in the second quarter. Oxford had held a secure GM bond but we took $100,000 or $200,000 charge on that bond. It was very small exposure. So it has been very limited exposure as far as impairments go. On both of those portfolios, we have been over the last several months targeting bonds in the five year to 10 year range as far as where we are putting money to work at. We have been keeping some conservative cash balances at both insurance companies. So as comfortable as we can feel with them, that's where we're at with them. They've both done a pretty good job there.
Jim Barrett - CL King & Associates: Thank you, Jason. It appears as if you are expanding UCar Share concept. What's your level of enthusiasm for the longer-term potential of that?
Joe Shoen: The press succeeds the reality. This is the one thing that there's such an appetite in the press that they'll take one car and make it sound like a giant fleet. So it's nice to have good press. What you really see with this, Jim, is we're slowly mastering the technology of dispatching without a person present. That has potential significant ramifications for our business. Now there are a lot of issues. You could adversely select customers. If it is not a safe rental, there is no amount of cost you can cut out of it to make this a good deal. If we can learn customer selection, who you accept, who you decline, how you qualify the customer and learn to dispatch them without a physical person present. I have people on my staff that would lacks eloquently about the positive effect that could have on margins. I will say that I'm at least going to be in a position to be defensive on margins and so I'm guardedly optimistic about it. So what we are doing is in a marketplace that is relatively small. We are learning the technology; we are learning how to do it from Portland, Oregon to Portland, Maine, which there are all these little just quirks in it. It all carries over to the truck rental operation, although in to different degrees because a car rental is a simpler transaction by far than a truck rental in most cases. We are learning and that it is going to be very positive. Jason, do you have a number what total investment is right now? It is south of $5 million and anything else has gone right through the income statement. In other words, we got some IT. We are running that through the income statement. So it is not a big capital commitment. It is a difficult thing to probe with rental trucks. I'd much rather probe rental cars. The downside is a lot less. So if I can learn it with there, I have no aspirations to be the rental car king of anything. I do believe that the fundamental model what they call car sharing is really what we've done for years in truck renting. It distinguishes us from Penske, they're a good example. They do a wonderful job of truck leasing for sure and trailer leasing. That's kind of the model that carries over to when they are in our business. We are more like a truck sharing company. So if you've rented from us we try to ask you well when are you going to pick it up, when are you going to bring it back? Well why? Because we're going to try to rent it again the same day for God's sakes. And you go, well, can't I have it for 24 hours? Sure you can, but if you only need it for six hours, let us know that so we can make it available to another customer. Then it keeps everybody's cost down. And that's kind of the mantra of these the car sharing people. It is not a very big mantra in the truck rental business. We are kind of the old bush in the wilderness on the subject. There are a lot of subtleties about how to go to market that think we are learning. We are going to need it at least defensively as we get into a spot in the marketplace where there only going to be two trucks available to rent there and it's just too little revenue to support a human being, even a part-time human being. So if I can get it to where I can remotely dispatch them. That's going to give me access to a marketplace that other ways don't have access to. So that is kind of my end run on it. In the meantime, we may find we can make few dollars. We may find we lose a few dollars. It is not going to be a huge amount of money either way in the car sharing business. It is been a very good entree to a lot of people we want to have access to because car sharing is almost a mania sweeping the country. I don't know if you've tried it yet or not.
Jim Barrett - CL King & Associates: No.
Joe Shoen: The reception to it is unbelievable. Now whether anybody is ever going to make any money out of it that's a whole another question. I've seen no evidence that anybody is presently making money. As far as people liking the concept. Meanwhile, we are making money doing truck sharing but not getting the PR that should be related to that, if that makes sense?
Jim Barrett - CL King & Associates: It does.
Joe Shoen: We are learning how to represent ourselves to organized political society as a company that is trying to deal with the overall problem. We have generated so much statistical information that is very persuasive to people in the cities and states that we must deal with of our positive effect on the overall environment. That might seem silly but if you recall we have over 14,000 dealers, and they are in every silly community in North America. If you tell them you want to put a truck rental place on Main Street or by the mall, they all go, oh God, no. But, if you told them you wanted to put a car sharing place at the mall, they'd all say, well when can you put it in? If we can reposition ourselves as truck sharers rather than truck renters, we stand to be able to penetrate markets that we can't get into presently. It is the truth if you went to one of my successful locations, they totally think they are in the business of sharing trucks and they would totally tell you something like, well Jim, when are you going to come back? You'd say, well I'll be back around 1:00. Well, Jim, can I put you down for 1:00, and then I'll help another family at 1:30? That's car sharing talk; that's not car rental talk. It's not truck rental talk either; its' truck sharing but we have lacked the vocabulary. It's kind of where we really come from and we stand to learn a heck of a lot for a very modest amount of money and very modest amount of risk exposure. If we learn it and we're able to apply it, it will be near to our benefit.
Operator: Your final question comes from Ross Haberman of Haberman Funds.
Ross Haberman - Haberman Funds: Jim Barrett asked the question and I didn't hear a good answer. When you are going to begin to see more firmer pricing on the Moving side? Do you have any speculation there or firming of pricing there?
Joe Shoen: I wouldn't expect to see it before Christmas, so that's a negative answer to you. This is always the $64,000 question, Ross. I really don't have a crystal ball. I go and look, tell my guys, forget about telling me what pricing is overall. Tell me what pricing is in 10 micro markets and why aren't you getting the optimum price in all of those? Because there will be several where you could improve your pricing. So this is a constant shifting. We have arguably 8,500 points we dispatch and receive from and five different sizes of trucks. So there's a huge map thing that is behind this. I can't quote the exact number. We have something like 85 million prices in our systems at all times. So some of these are things that there's only one event every six months or a year. I don't know, Albany, New York to some place in Alaska. It may be once every four years the rental even takes place. On that rental, if we don't get good money, we are dumb. We are the only fools out there in that marketplace and we ought to get our full cost and a decent margin. Now let's go back and say okay, how about Albany to Washington, DC. Well Albany to Washington, DC is a very much driven by the political connections and that's a very busy little corridor. All alternate forms of transportation of your goods are available in that marketplace from trains, buses, up through and including Penske and Budget. So in that market, it's always going to be harder to get a price increase. So we can and are starting to do a better job in and I gave you a rare extreme case there, Albany to Anchorage. There's a whole bunch of these things. We don't get adequately paid in my judgment for the convenience we provide to some one-way movers. That's a positive way to say it. And if we will carefully sift through it, we can get a little premium, not 7% or 10% but we can get a little premium. When you get that, it adds up or it multiplies out and becomes a significant amount of money at the end of the year. We're in every one of those bergs. Are you from the New York City area?
Ross Haberman - Haberman Funds: Yes.
Joe Shoen: We probably got 60 locations on Long Island. Now some of them are very, very competitive but as you get further out there, they're very, very not competitive. And if we're pricing the same way from the tip of the island as we are where it borders up with New York City, well we're idiots. From time to time, I find us being idiots. So we work very, very hard on trying to plate our strengths and we should definitely get a better overall pricing and a better overall gross margin from our more remote locations. The customer is very much understands that and is happy to pay for it. But then we got to execute it. So it's our opportunity to manage in corridors like Albany to Washington, DC.
Ross Haberman - Haberman Funds: Rocky said you had 56% occupancy in the storage facilities. Was that correct?
Jason Berg: It's 75%.
Ross Haberman - Haberman Funds: 75%. And what kind of trends are you seeing there recently? There was 75% going down to 70% or 75% going up to 80%, from your best guess?
Jason Berg: I'm sorry, it was 76%
Ross Haberman -Haberman Funds: What kind of trends are you seeing there?
Jason Berg: That's been trending down 5% at least over the last year at that magnitude. The rate of actual rooms occupied has been trending down around 1%. So we've been having a decrease in actual occupied rooms of about 1% or a little bit over 1%. We have been adding new rooms on top of it, that's how we get to that 5% occupancy decrease. So one of the statistics that we look at is how many people did we net move in or move out during the period? So normally we have a whole bunch of people moving out, whole bunch of people moving in. So in this quarter just a round numbers we were up. We moved in maybe net 5,200 or 5,300, whereas last year in the first quarter, we moved in 5,000. So the trend is that we did a little bit better but we started off down a little bit. So that's why the occupancy number looks down. But there's a positive trend in the number of people that were moving back in. So hopefully we can slow the decrease down. With slowing down how many new rooms that we're adding to the portfolio, that will also help the occupancy rate. I don't know if that necessarily helps the business but looking at that one specific measurement, it will help the measurement.
Ross Haberman - Haberman Funds: Are you having to discount much or give teaser rates or give free months or so in order to keep the occupancy at least at the levels they are?
Joe Shoen: We are not real well known for giving away rooms to keep you in. I have a whole mantra about increase the level of service. If a customer pushes back, particularly existing customer on the rate, what they're really telling you is that the hallway's not clean, the garbage can is not empty, and the bathroom isn't up to their standards. They're not actually telling you that you need to lower your rate. We have a centralized rate-making group who has a vast data of what rates are at different places. Your fear in the self storage always is that a fool buys the property next to you, builds a storage place and decides to price at half your rate and now you have to meet him. I'm sure you can find instances of that but that's not the general rule. Most people get ate up pretty fast. So our promotion, our standard promotion is a one month free with a truck rental, 30-day free promotion. We've run that consistently for at least 10 years. Public Storage, on the other hand, uses a $1 move in special, which they've run for at least 10 years. Now, you can get to other operators who will be pay two months, get the third month free type. We don't do a lot of that kind of stuff. Our experience is it kind of gets out of hand. That's not to say that a given manager won't match a given rate if you lean on him. We pretty much discourage it. We see all the transactions on a real-time basis, and we compare every rate to what is very rate that's charged to what we had listed as the rate. We don't get a lot of variance. It's our intent not to. Our intent is to have the rate be a fairly solid rate and we think that that works okay. The other thing we do is we publish our rates so the customer can see them. Many of our competitors who engage in this behavior won't publish their rate. Over a long period of time that erodes the brand equity or their opportunity to build brand equity because if you are renting your room for $75 and I'm paying $125, about the time I figure out the difference, I'm a little bit smoked. If you go to a lot of places, you'll see they don't have a rate sheet or posted rates. The reason is they're totally pricing to demand that day or that week. That's an interesting proposition but we've not used that. We tried that, ran an experiment of about 60 stores on that for six years; a long experiment. At the end of the time, we believe we got slightly higher net income per square foot off of our system. So we have a semi-scientific basis for believing that what we do is the best we can execute. I don't know what everybody does but I'm not degrading them. I'm just saying we tried executing the other system and in the end of the day didn't feel it got us any more money. We felt it did make customers feel that it was a little bit of a gamble what rate you got at the U-Haul place. In other words, some people got better rates than others. We don't in fact actually discount rates to corporate customers or large accounts. Our rate's our rate which is the same thing and to some degree it's fallout for the truck rental business; our rate's our rate. We get known for that and then people have some confidence that at least they don't have to negotiate when they come in.
Operator: This concludes the question-and-answer session. Mr. Shoen, do you have any closing remarks?
Joe Shoen: I want to thank everybody for their support. Obviously, without your support, we wouldn't be out there in the marketplace. I look forward to talking to you again. I'm very comfortable with the fundamentals of the business and very comfortable with the overall impact of the economy but I'm very uncomfortable with our near-term results. So thank you again and we look forward to talking in a month.
Operator: Ladies and gentlemen, this does conclude your conference for today. You may disconnect your lines.